Operator: Good afternoon, ladies and gentlemen. Welcome to the Maple Leaf Foods First Quarter 2017 Results Conference Call hosted by Mr. Michael McCain. Place be advised that this call is being recorded. [Operator Instructions]. I would now like to turn the meeting over to Mr. Michael McCain. Please go ahead.
Michael McCain: Thank you, Mary, and good afternoon, everyone. Thank you for joining us for our Q1 2017 conference call. Both Debbie Simpson, our CFO and I will provide commentary on various aspects of our business and then I will open up the call for your questions. The news release and today’s webcast presentation are available at mapleleaffoods.com under the Investors section. Some of the statements on this call may constitute forward-looking information and future results may differ materially from what we discuss. Please refer to our 2016 annual MD&A and other information on our website for a broader description of operations and risk factors that could affect the Company’s performance. Turning to slide number three and the deck that’s been circulated. We’re very pleased to have started the year with another very solid quarter. We delivered adjusted EBITDA margins of 10.8% and our fifth consecutive quarter above the 10% strategic target. This positive outcome was achieved despite some market challenges during the quarter, notably some significant turbulence in the pork markets. On balance, this was relatively neutral to our overall results and we delivered a 60 basis-point increase in EBITDA margin. Our results added to our balance sheet and earnings, as we generated $34.8 million in free cash flow, and we increased our adjusted EPS by 18% to $0.33 in the quarter. Our performance reinforces how far we’ve come in strengthening the underpinnings of our business. In recent quarters, I’ve been sharing highlights of our strategy to build the next level of profitable growth. We know this is of keen interest to all of our investors and in that regard, I would encourage you please to read our remarks at today’s annual general meeting of shareholders for a deeper awareness and insight into what we see as our future. Turning to slide number four. We closed the acquisition of Lightlife in March; we’re very excited about that. It’s an important milestone for us as we expand into the alternative protein segment. Lightlife commands a 38% market share in the refrigerated plant protein category with the number one brand. And the overall plant protein category’s growing at a double-digit pace, well above conventional grocery. We’re delighted with the transaction. I and my operating partner Gary Maksymetz have been to the plant in Massachusetts several times to meet with management and the team, and it’s been great getting to know them better. We’re extremely pleased with their capabilities and breadth of knowledge in the plant protein space and the opportunities that we have to grow this business, really nothing but positive post the close. We’re looking forward to building on their leadership in this important profitable category. We have multiple paths to drive that growth. Lightlife is at the perfect intersection of a consumer need for additional protein choices and is very well-positioned in the U.S. marketplace in this category. I’ll come back with theme of strategic drivers in a few minutes, after Debbie discusses the financial highlights for the quarter. So, Debbie, over to you.
Debbie Simpson: Thank you, Michael. Before I discuss the quarter, I want to describe a change in our segmented reporting. With the sale of non-core assets in our bacon operations, our business has been solely focused on growth in value-added protein. That’s how we run and manage the business and how the organization is structured. Our Agribusiness segment was a legacy carryover in our reporting and now is significantly smaller part of our Company dedicated to supporting our core value-added protein business. To better reflect how we view and run our business, we will be reporting our results in one reportable segment going forward. I want to be very clear though, we will continue to provide the same level of disclosure regarding the major drivers of our business within this reporting segment as we have in the past. Now, if I could turn your attention to slide five. You can see that we drove, both top and bottom line growth compared to last year. This slide presents base financial metrics for the quarter but I will call your attention to a few in particular. Sales grew by 1.8% to $811 million with strong volume in higher value-added fresh pork export sales to Japan contributing to the increase. Adjusted earnings per share grew 18% in the quarter to $0.33 per share. In addition to the higher sales, our adjusted EPS benefited from stronger prepared meats volume and lower operating costs across our network, which we are very pleased with. Strong contributions from value-added fresh pork including higher Canadian retail sales and value-added export sales to Japan also drove our results. These benefits were partially offset by lower poultry contributions to the market and margin compression in packaged bacon. Our EPS also benefited slightly from the leverage of buying back our stock over the past year. In the first quarter, adjusted EBITDA margin was 10.8%, an increase 60 basis points over last year. Moving on to the balance sheet. We continued to generate increased cash flow during the quarter, which contributed to cash on hand at the end of the quarter of $144 million. On a year-over-year comparable basis, recall that we had all-in costs of about $191 million for our Lightlife acquisition and approximately $142 million of share buybacks in the last year. In the first quarter, shareholders received a further increase in their quarterly dividend of $0.11 per share. Turning your attention to slide six. Overall, we had a solid quarter from a commercial and operating perspective. Our prepared meats volume continued to improve and was higher than last year, even though the prior year had the added benefit of Easter landing in the first quarter. We also had lower operating costs across the supply chain which contributed to our results. We had excellent benefit from strong commercial performance in fresh value-added pork. This was partially offset by margin compression in prepared meat which showed up in packaged bacon. Poultry volumes were also up but markets impacted margins and overall poultry performance was below year ago levels. We continue to grow volume in meat raised without antibiotics with a much greater commercial thrust in 2017 in both the U.S. and Canada. I’ll now turn the call back over to Michael to discuss our path forward.
Michael McCain: Thank you, Debbie. I discussed in my earlier remarks how Lightlife fits into our broader growth agenda in sustainable protein and our vision for being the sustainable protein leader in the world. Our leadership in sustainable protein is not a new goal for us. We have been discussing it for years, in fact. Even working quietly in the background for the last several years as we completed our transformation to define this growth agenda that is true to who we are, is differentiating and delivers attractive returns to shareholders. As we described at today’s annual meeting of shareholders, we believe there is great commercial and business value that can be derived from our vision to be the most sustainable protein company on earth. I would urge you to read through my remarks at the AGM again to deeply understand what this means to us. I would like to you also please to understand what we feel what that does that means to shareholders as the tenet for this path forward is truly shared value. I would highlight that none of this is truly new news as we have been building that foundation and the foundations of this path for many, many years. We are well on our way. That makes this point in our history so exciting and so personally invigorating for all of us here at Maple Leaf. We’re at a juncture in which we are finally able to leverage all of the strategic capabilities that we’ve created and all of our passions and interests, and they all line up to where society is going today, where the market’s headed, where our passions lie, and where we also have a clear strategic advantage. So, that becomes a real North Star for us. Challenge has been clear, responding to societal and consumer changes is a way that is unique in the marketplace and that delivers attractive commercial growth opportunities and returns. We found that intersection and over time, we believe it will be a game changer in the industry. Turning to slide number eight, I would like to outline our strategies which define that roadmap to deliver greater levels of profitable growth. With a high level of clarity, those strategies of which there are six are number one to lead in sustainability where we have the most aggressive goals in sustainability and shared value in the entire industry. Number two to invest in our people. The foundation of our success is making Maple Leaf an inspiring workplace where the very best people can realize their full potential. Number three is an making great food that includes advancing our safety agenda, health, nutrition and certainly leading in the important area such as of reducing antibiotic use in livestock. Number four is broadening our reach, which includes both the advancement in our portfolio of non-meat plant-based alternative proteins as well as geographic reach. Number five is building on a digital future, leveraging the new digital world that is so exciting to all of us to enhance our business. And finally, elimination of waste, which is relentlessly maintaining our culture across the Maple Leaf organization of reducing costs, including our environmental footprint. Turning to slide number nine, a little bit of an insight in terms of how we are doing against this very ambitious agenda. I would like to outline a few of the major milestones across our four sustainability pillars that we’ll shortly be releasing in our 2016 sustainability report. For example, we’ve built industry leadership in pork and poultry protein raised without antibiotics. We are also moving very aggressively to remove artificial color and flavors, shifting our entire portfolio to simpler, natural ingredients. In our signature community investment, we have launched the Maple Leaf Center for Action on Food Security backed by $10 million, five-year commitment to advance sustainable food security through funding in innovation, through a learning hub in collaboration with communities across the country. Our goal in this initiative is to work collaboratively to reduce food insecurity by 50% by 2030. Being a leader in animal care’s critical to our culture and sustainability and also an area of strong competitive differentiation for Maple Leaf. We have one of the leading animal welfare strategies in our industry and the track record of investment and progress to back this up. We’re driving very comprehensive advancements in new technologies, in training, in a more humane production practices. And finally, we know that animal and food production leaves a large environmental footprint. And we have bold goal to reduce the impact of that footprint by 50% by 2025. Last year, I’m very proud to say that we cut our energy and water usage by a phenomenal 15% and emissions by over 30%. We have every reason to believe we can accomplish our goal ahead of schedule. Turning to slide number 10. There are many ways that these important strategies will show up in the marketplace commercially, and I think that important for all of the analysts and shareholders to understand. Perhaps the biggest differentiator in this area is pork and poultry raised without antibiotics. Maple has unique capability and advantage in this fast-growing market, and we’re focusing on accelerating our expansion and leadership. Our Greenfield brand which became the top selling new brand in Canadian grocery last year is our leading sustainable meet brand. While its major differentiator is meat raised entirely without the use of antibiotics, it’s certainly bundles in addition to that all aspects of our sustainable meet differentiation. In the second quarter, we plan to be in market with significant activities to support our Greenfield brand, both in Canada and United States. In fact, you may have seen the new Greenfield, what we describe as farmvertizing, spots on Canadian television recently. We’re seeing new emerging needs and commercial opportunities across the food industry in all aspects of more sustainable protein. This is increasingly true in the North American food service sector where sustainability claims are providing important points of difference that are important to consumers including a material focus on animal welfare. In our customer meetings, our actions on sustainability and what we bring to the market is increasingly taking up the agenda in defining who Maple Leaf is and why we’re different. A small but rapidly growing part of the commercial opportunity is in the plant-based protein category. Coupled with our acquisition of Lightlife and enhanced U.S. presence, we see continued opportunity to build our leadership in sustainable proteins in that segment in the U.S. marketplace. Underpinning all of this, we continue to view cost reduction and improved margins through aggressive waste elimination as a key enabler to those plans and with some important cost reducing project -- capital projects clearly identified. On slide number 11, it’s really important that everybody understands that as successful as we believe our transformation in the last decade has been, we believe there is an equally compelling opportunity to drive enhanced profitability going forward. There are several levers to support this aspiration. We see further cost reduction opportunities over a five-year horizon through the execution of a poultry strategy that reduces costs across the network and improves our operating efficiencies. The decision to close our outdated turkey processing plant and enter a supply agreement is one step. We also believe that strategic investments in primary processing and furthering our value-added capabilities will be a material driver of further margin accretion. Similarly, ongoing cost reduction in our supply chain and SG&A remains a core part of our DNA. There are opportunities in addition to what we have already done to maximize our network efficiencies, which are not yet at full performance potential, and to reduce SG&A so that we can deploy those savings into further brand, marketing and promotional activity. Aside from cost saving initiatives, there is a significant portion of margin enhancement expected to come from growing the margin enhancing categories within our portfolio. In particular, the growth categories that we’ve identified such as sustainable meat and alternative protein are all margin accretive and as our sales mix shifts over time, they will have positive of effect on our overall margin. Finally, we also have significant efforts underway examining how we can clarify, update and focus our brand strategies in ways that will both regenerate growth and the categories that we operate in and enhance overall margins. This is emerging work and we are very excited about it. So, in short, we have every reason to believe that these major profit drivers and our strategies of building a sustainable future for Maple Leaf are roadmap that has a capacity to propel us to EBITDA margins in the 14% to 16% range within the next five years. In closing, we are very pleased that we’ve delivered strong earnings growth during the quarter with our fifth consecutive quarter above our 10% strategic margin target set in 2010. We’ve delivered strong returns to shareholders in both share price appreciation and by returning cash through share buybacks and higher dividends. Our focus is delivering on our strategic targets and our plans to accelerate them. All of our growth platforms and strategies along with potentially targeted M&A activity in our pipeline will play a role in that future. We have the roadmap to deliver higher levels of profitable growth and the center of this is our vision to become the most sustainable protein company in the world. We believe that that is the right path for Maple Leaf. We are well-advanced in executing that vision. It distinguishes us. We have competitive advantage. We are uniquely positioned to do it. And in our view, we believe that the next journey will be as exciting and as rewarding as the last, creating genuine shared value. So, with that, I would like to open up the call to your questions.
Operator: [Operator Instructions] The first question is from Michael Van Aelst form TD Securities. Please go ahead.
Michael Van Aelst: So, looking back on slide 11, and your five-year goal of 14%, 16% margins, are you able to kind of rank the importance of each of those five building blocks in terms of achieving those results?
Michael McCain: Yes. I would be happy to give you a directional ranking, Michael. I think the most powerful one will be margin accretion through our sustainable protein initiatives, which would include the accretive margin capacity in sustainable meat offerings and plant-based protein offerings. So that would be the largest of the collection of them. I believe the cost reduction opportunities from investing in our poultry assets, poultry supply chain would be the second largest. I think the margin accretion of our core renovation and the opportunities that we see in front of us from that will be the third. And I think extracting the full operating potential of the investments that we have made over the last five years in terms of the efficiencies in each model of plants and improving our SG&A profile would be the fourth. So I would rank in that order. But those are directional rankings, Michael.
Michael Van Aelst: And the margin enhancement from growth categories, how does that defer from enhancing margins from the sustainable meat and alternative protein and things like that?
Michael McCain: They are, that is. That’s it.
Michael Van Aelst: Okay.
Michael McCain: Sorry. I didn’t mean to [multiple speakers] that’s what I meant.
Michael Van Aelst: Okay. And then, if you look specifically at the quarter that you just released, the margins are very good, up year-over-year despite the lower spreads and the spike in the pork belly cost. So, what were the offsets in the industry and the company specific factors that allowed you to do this?
Michael McCain: First of all, I would highlight that we are very pleased with how our balanced portfolio is performing in most market conditions. So that’s -- there is some benefit to having a very balanced portfolio because our goal is to stabilize and to be able to deliver consistently quarter-to-quarter. And we’ve said that there is probably a 100 basis points of natural variation around our 10% structural target. And we continue to believe that, but that’s as a result of our balanced portfolio. That portfolio in this quarter, Michael, had some positives and some negatives. The positives were the performance of our fresh pork business was strong because in the context of a rising markets, and that was offset by margin compression in our bacon portfolio which showed up in our prepared meats business. We also had lower year-over-year poultry results but not similar to the other two. So, those are the key moving parts, but they all ended up basically, roughly speaking at a wash. And so that really had no effect in total of the portfolio.
Michael Van Aelst: If that’s the case, has that 100 basis points of the variability kind of start at closer to 10.8% now and you can go up and down a 100 basis points?
Michael McCain: No. I don’t think I would conclude that. I just think we had a -- there is other factors that move -- that are unrelated to markets in the quarter. So, we did have rapidly rising raw material market in the quarter. It was relatively neutral. There is going to be in fact some carryover of that raw material market as it fell back off in some cases in the second quarter. And just timing related with that and timing of your promotional activity with customers, when did Easter fall last year was -- it was early last year in the first quarter, it was in the second quarter this year, operating variances in your supply chain; there is just too many other moving parts to draw that conclusion, Michael.
Michael Van Aelst: And then, last one before I get back into the queue. Back on the enhanced margins for sustainable meat and alternative proteins, when you look at five years over that five-year goal, to what extent are you assuming that there might be some -- that some of that premium margin that’s built in there for sustainable meat get eroded over time as others gain that capability.
Michael McCain: So, it would be a very natural thing to assume that all margins in all innovation have a life cycle. Being in this business for 35 years, all margins in innovation have something of a life cycle. So the answer to that is clearly yes. But, I would say that this particular life cycle will probably be longer than most, because we’re starting from a position of very low penetration. And our expectation is that demand is going to exceed supply for the foreseeable future. So, with that as an underpinning, we’re off the view that that any contraction that occurs or in that life cycle would likely be after that period of time. Having said that, our job as innovators is to constantly be ahead of that curve. We’re thinking two to five years out in how we enhance that that bundle of benefits of sustainable protein and other innovations to -- by the time this innovation curve comes to at the end of its life cycle, it’s our job to make sure that we’ve got another one right behind it. So, we feel pretty confident in those numbers. And honestly the best test, Michael, for that target of 14% to 16% is quite frankly, there are lots of people in the industry already operating there. So, this is not moving to some aspirational target, that’s not currently in existence, practical, realized in many value-added CPG protein companies in North America already today as we speak. The 10% target looked great when we were running at 3.5; today I would tell candidly it’s not best in class. And we believe that these are the items that will propel us to that level that be in line with best in class.
Operator: Thank you. The following question is from Derek Dley from Canaccord Genuity. Please go ahead.
Derek Dley: Just on your longer term margin target here, can you give us an idea of what your assumption is in terms of your exposure to alternative protein and RWA, what that would look like in order to get you guys those types of margins?
Michael McCain: No. Unfortunately, Derek, I can’t give you that kind of granularity. I can only tell you that it is an important contributor, but it’s not the only contributor. For example, the sustainable meat portfolio today would be a larger contributor than that.
Derek Dley: Okay, that’s great. And in terms of your cost reduction within your poultry assets, I know it’s something you talked about a little bit in the past. Is there an update on the timing on when some of those initiatives would start? I think you’re starting with an Edmonton plant in 2017 but if you could just remind us?
Michael McCain: First of all, we have already started with the actions that we took to consolidate our turkey processing in Ontario in the Thamesford facility. So, this will happen from current time lines, all the way through a five-year horizon, probably the bigger, the bigger benefits from this type of -- this initiative, which I have spoken to in a number of venues and formats and on this call in the past, would likely be more in the last -- the 2019 to 2021 timeframe.
Derek Dley: Okay, good. And just moving back to the quarter here, in terms -- I we saw pork belly costs spike materially in February and since falling back down to sort of $107 level. Did you guys take any pricing in bacon during the quarter?
Michael McCain: Yes, clearly. I mean, we had to. But it’s actually the belly cost, which was part of that margin compression I referred to earlier, from early December through to the end of January, in U.S. market, which drives the Canadian market, the belly market went from $1 a pound to $1.82 a pound at its peak, an 80% increase in an eight-week period. Honestly, I have not experienced that kind of volatility ever in my history before. Now, it’s since come back, that resulted in some margin compression in period -- in the first quarter. And as I said earlier, there will likely be some carryover of that into the second quarter as well. But, it has come down and it’s just an element of very volatility that we have to deal with. I think to Michael Van Aelst’s question earlier, we’re very happy with the balanced portfolio that we have and in spite of that we are able to deliver some pretty good results.
Derek Dley: Yes. That’s a good point. And just the last one for me. You noted that volumes were up in prepared meat in Q1. So, have we seen the volumes come back to -- and this is going back a bit, but Q1 2016 levels when you took a more -- when you did take a strong pricing increase?
Michael McCain: Well, we didn’t take the pricing until the second quarter of last year. But having said that, we are -- the volumes were up over a year ago. So, that’s the good news. The bad news is that we’re lapping a very poor quarter last year. So, it’s a bit of a cold comfort. So, the volumes were up but they were lapping a relatively weak quarter in the first -- unrelated to pricing in the first quarter of a year ago. So, we still are focused on the long-term value creation of renovating our products and our brands to get at the consumer demand issues that are going to drive higher levels of growth in the category but that’s work that’s underway and not complete yet.
Operator: Thank you. The next question is from Mark Petrie from CIBC. Please go ahead.
Mark Petrie: I just wanted to follow up on the RWA topic. And in the quarter specifically, I think you called out sort of starting to get or getting more traction in foodservice. I am wondering if you could just talk about that and what your outlook is for the next year and how important that is as you look to continue to grow that business versus penetration in retail?
Michael McCain: I don’t think we have any different penetration in foodservice for retail. I do think that the foodservice channel is -- often times leads these trends. And we are seeing significant demand in the foodservice channel. Although there is always obstacles in executing that across an entire customer base because you have -- it’s just a very difficult thing to isolate your execution of that against one menu item or one region as opposed to a total brand in the foodservice customers. So, there is -- in short, what that means is some longer lead times to execute it. The foodservice channel has actually been more receptive at the early part of that trend, with the full suite of sustainable meat benefits. So, it’s not just our RWA but it’s also our leadership in animal welfare. We’ve developed a real skill set, operating set of principles. Our animal husbandry practices, our care practices, our stewardship and oversight are all leading-edge and advanced in the marketplace, and we’ve become a bit of a go-to organization in terms of what leading-edge practices look like in animal welfare. And that’s very attractive to most of our foodservice customers. I don’t see a change -- we don’t segment our retail versus foodservice. But I don’t see a change in the mix in any material way between the two.
Mark Petrie: Okay, thanks. And is foodservice of greater or lesser or the same importance when you think about the U.S. versus Canada?
Michael McCain: I’d say the same.
Mark Petrie: Just switching gears a little, I wanted to ask about the Lightlife business. And when you think about the growth over the next number of years, how do you think about it being driven? I mean, is it new products that you plan to introduce; is it just simply growth in the category because people are increasingly eating that way or is it expanded distribution? How do you sort of rank those three drivers?
Michael McCain: Yes. So, let me start with the category itself is growing at 11%. So, that’s the starting proposition. That’s -- for the golfers in the crowd, that’s green piece, 11%. So, how are we going to accelerate it beyond that? Well, first of all, we’ve been investing in product knowledge and product development in this category for two to three years. So, we actually have internally developed a pipeline of new products that are absolutely exceptional. Based on their pipeline plus our pipeline, we believe that product diversification and expansion in this space can be a real, a very powerful accelerator in that growth. Second one is in channel, diversification. They have almost no business in foodservice as an example and other elements of the retail business, and we believe we can accelerate that. The third is geographic expansion. There are many holes in their geographic distribution that we believe we can rapidly fill. And so, we expect to support that. So, in total, there are a number of different avenues to accelerate that growth across all of those opportunities. I would highlight that the household penetration of this category is extraordinarily low but growing rapidly. So, there’s many opportunities to take this to yet another level of household penetration for this class of product. And our job is to really, really pulling all those levers that you’ve mentioned, Mark, to accelerate that.
Mark Petrie: Okay, thanks. And then I guess just as a follow-up on that. Is Lightlife the brand and sort of the only business you need in order to be able to achieve all of that or do you think that there’s sort of other additions to the portfolio that could make some sense?
Michael McCain: We’re opened to other additions but we never planned on other additions. Our plans will always be based on what we have today. And if an opportunity for additional capital investment emerges, we would obviously pursue that. But our plans will ultimately be based on platform that we have in our possession today.
Operator: The next question is from George Doumet from Scotiabank.
George Doumet: Looking at the five-year 14 to 16% EBITDA target, just wondering, number one, if that’s organic. And number two, how should we think of that evolution around from today’s 10-plus level, is it more a back half kind of 2019, 2021 period?
Michael McCain: So, we deliberately are not prepared to time phase that before you. So, we’ll leave that to your expert financial modeling to think that through, George. Although, I’ve given you some directional items on a few items but honestly, I think it’s probably better for you to model that yourself. I do think it’s not -- it is certainly not like the last transformation because the last five years has been basically a capital play. You invest the capital, you go through the duplicate overheads and all of the pain of placing that capital on the ground, then you start it up and you within 18 months, realize the benefit attached to that capital. The next journey is not like that. It’s more block and tackling of a range of initiatives, some of them revenue based, some of the margin enhancements based and some of them capital based. So, I think it will tend to be smoother, but I would not be prepared to map that out on a year-by-year basis.
George Doumet: Fair enough. It is organic, right?
Michael McCain: Yes, it’s all organic. Yes.
George Doumet: Okay, great. And just one last one, if I may, there’s been a tick up in your export sales to Japan. Can you maybe frame that opportunity for growth for us kind of looking out a year or two?
Michael McCain: We will grow on a very steady basis. It’s not a strategic part of our growth. We are not -- we don’t view ourselves as being fundamentally in the primary processing business for the world pork markets. That’s not -- we are in the branded packaged goods business in North America and that happens to be an adjunct business that helps us balance our portfolio and our sources of raw material. We have a value-added fresh pork business in Japan and in China that has emerged in part of that balancing -- balanced portfolio. It continues to be attractive. And in fact, our sustainable meat prepositions are starting to gain some traction in the Asian markets as well. But I don’t see extraordinary growth in those markets as a result of that. That’s not -- our business is really the North American branded consumer goods business and that’s the engine for growth in our business.
Operator: Thank you. The following question is from Michael Van Aelst from TD Securities. Please go ahead.
Michael Van Aelst: Just looking at the Devour jerky line that you launched a little while back. How is the progress to-date? And does it give you the confidence from what you’re seeing -- do you have the confidence that you are able to gain meaningful share in a category like that through organic or growth rather than through acquisition?
Michael McCain: The product has been -- our launch -- we’re committed to the category. We believe that it will be both top and bottom line accretive over time. But it’s a relatively small category, with very slow build in the performance of that category. And it’s not going to have for the foreseeable future, a meaningful impact on our results. So, we’re going to be still in it. We’re committed to it. We’re going to grow in that space. We’re going to continue to drive it. It’s a fantastic product but relative to the other initiatives, Michael, that we identified here, it won’t be as much of a driver.
Michael Van Aelst: Okay. And last question for me is when you -- I think you’re still probably raising about 1.5 million hogs internally. What percentage of that is RWA now?
Michael McCain: We haven’t segmented that to put that into the marketplace. So, I’m unable to answer that question at the moment, Michael, if that’s okay.
Michael Van Aelst: Okay. How about your source of RWA hogs, is it still or is it mostly internal?
Michael McCain: Yes.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting back over to Mr. McCain.
Michael McCain: Okay. Well, thank you very much. It’s been -- 2016 was a pivotal year for Maple Leaf Foods. I want to reiterate my encouragement to all of you on the line to please take a look at our remarks at the Annual General Meeting of Shareholders today. I think they very fully articulate the -- what we see as the vision for Maple Leaf over the next journey. And we’re very excited about that vision. So, we hope you take that time to read through that. And appreciate your support from where we’ve been through in the last five years and look forward to your participation in the next journey here at Maple Leaf. So, thank you for your time and energy and commitment, and we’ll look forward to visiting with you in another 90 days. Thank you. And have a wonderful day.
Operator: Thank you, Mr. McCain. The conference has now ended. Please disconnect your lines at this time. Thank you for your participation.